Operator: Good morning. Thank you for attending Benson's Hill Third Quarter 2023 Earnings Call. My name is Lauren, and I will be your moderator. [Operator Instructions] I want to pass the conference to your host, Ruben Mella, Senior Director of Investor Relations with Benson Hill. Ruben, please go ahead.
Ruben Mella: Thank you, Lauren, and good morning. We appreciate you joining us to review our third quarter financial results and outlook. With me today are Deanie Elsner, Benson Hill's Chief Executive Officer; and Dean Freeman, our Chief Financial Officer. Earlier this morning, we filed our earnings release and Form 8-K. These documents and an investor presentation we will reference during the prepared remarks are available in the Investors section of the Benson Hill website. Comments today from management will contain forward-looking statements, including Benson Hill's expectation of future financial and business performance and industry outlook and current guidance for 2023 and preliminary directional outlook for 2024. Forward-looking statements are inherently subject to risks, uncertainties and assumptions and are not guarantees of performance. We caution you to consider the risk factors that could materially cause results to differ from those in the forward-looking statements. Such factors include those referenced in the cautionary notes included in our Form 10-K, Form 10-Q, press release and investor presentation and other filings with the SEC. Also during this presentation, we will discuss specific non-GAAP financial measures. A reconciliation to GAAP is available in our earnings release and presentation. I will now turn the call over to Deanie.
Deanie Elsner: Thanks, Ruben, and good morning, everyone. The past few months have been an intense and pivotal time in the evolution of Benson Hill. On October 31, we shared a plan to realize our vision as a leading food and feed technology company across multiple protein end markets. The need for protein and nutrition security continues to grow and unlocking the natural genetic diversity in plants is a way to address it. That's the power of genomics to change the food system. Our innovations have a multiplier effect across various end-use applications. We plan to direct the value-added attributes of our ultra-high protein, low ligosacaride or UHPLO C varieties as we successfully launched for the aquaculture market into serve the established and growing poultry and swine markets. To establish this, Benson Hill is divesting its processing assets and evolving to an asset-light model with robust partnership and licensing agreements to access a $28 million acre addressable market and supply our novel soy meal to customers at scale. What excites us about this opportunity is our first-mover advantage. We have confirmed through multiple feeding trials that UHPLO is a game changer for animal producers. Our innovation available today meets the nutritional quality trait specifications they desire, higher protein, low ligosacarides and enhanced amino-acid. Additional innovations in our product pipeline with further increased protein, enhanced amino acids and herbicide tolerance will be launched in 2027. Competitors have announced partnerships in this space that underscore the exciting opportunities in these markets and Benson Hill's first mover position. By the end of the decade, others intend to launch first-generation seed varieties with defined specifications that our UHPLO varieties meet or exceed today. By the end of the decade, Benson Hill plans to launch our Gen 3 seed varieties into this attractive market. That's the Benson Hill advantage. Our proprietary high-protein germplasm represents decades of breeding to optimize nutritional traits, our strategic data layers represent extensive mapping and understanding of nutritional genetic markers and our crop OS innovation engine and Crop Accelerator providing industry-leading AI-driven seed innovation platform to execute our quality trait breeding program. Our Crop OS technology platform is distinct and highly complementary to the capabilities of other seed companies. The ultimate advantage is an accelerated speed to market in a business that involves biology and implementation across millions of acres, time is priceless. We have defined a clear path forward, focusing on our core strengths. Here's what you should expect from us in the coming months. First, we're executing the divestitures of our processing assets. Specifically, we completed the sale of the soy crush assets at our Seymour facility for approximately $36 million, subject to working capital adjustments, and we're currently exploring opportunities to divest the Creston and Dakota facilities. Second, we're executing the transition of our business. We expect the divestitures, cost realignment, working capital savings and efficient capital structure to enable an asset-light model with a 12-month liquidity runway. Finally, we're focused on securing strategic partnerships and licensing agreements to expand into the poultry, swine and pet food markets while also positioning Benson Hill for gross margin expansion and higher returns on capital. The 2023 harvest is nearly complete for both our commercial and pre-commercial soybean varieties. Our field teams report protein levels in our proprietary soybean portfolio consistent with what we've seen historically with some varieties delivering a slight year-over-year increase. Notably, one of our new UHPLO soybeans showcased protein levels that outperformed our widely planted variety currently in use in aquaculture. Similarly, protein levels in ultra-high-protein varieties destined for human food applications showed a modest year-over-year improvement. Approximately 10% of the harvested bushels have already been delivered to our processing facilities and partners, and we're establishing tolling agreements to process grades. The 2022 class products within our UHP and new UHPLO categories continue to show stronger yield performance surpassing the current portfolio. Looking ahead, we anticipate a 5 percentage point year-over-year improvement in the yield performance of our 2024 commercial portfolio. We remain firmly on track to transition our first UHP herbicide tolerance varieties to seed production for the upcoming 2024 crop year. We plan to share an update with you on what will advance through the R&D pipeline by the end of the first quarter. We will continue to support our existing engagements with farmers, current customers and partnerships as we convert our business model to enter animal feed. In our view, the long-term opportunities for food, aquaculture and specialty oils remain positive. These markets will be challenged in the near term, but they will return to growth, and we have proven our ability to scale our innovation to meet the needs of those end markets. The hard work is underway to realize the evolution of Benson Hill. Next year will be different as we begin the shift towards 100% proprietary products through an asset-light model, accessing the animal feed markets requires an acre acquisition strategy. As our ACRE acquisition targets grow in the coming years towards an estimated 6.5 million acres by 2030, we expect broad acre licensing of our germplasm to be the catalyst to get us there. Other sources of future revenues and margins will include direct seed sales and technology access fees from soy ingredient processors and customers. We expect to share the estimated $100 to $230 per acre of value creation from our genetics with those partners. One of the benefits of this approach is that we can monetize our innovation at least 2 years sooner than under the current closed-loop model. By securing value further upstream, we can generate more sustainable earnings at a much higher gross margins. I want to quickly shift to how the transition plan will affect 2024. Fiscal 2024 is a transition year for us as we move to the asset-light proprietary-only revenue model. Several factors will impact our results for 2024, depending on the timing of our execution. Specifically, a disposition of manufacturing assets will reduce our non-proprietary revenue and operating costs versus 2023. Our gross profit is still expected to be positive in 2024, and we will deliver our operating run rate reductions as promised, but we will continue to experience net operating losses for the year. As we've announced, we intend to pay off our high-cost debt by March 1, 2024. We expect our operating cash burn to be significantly lower than 2023 levels. We will update you on 2024 expectations and regular cadence of our year-end earnings call. We have a lot to look forward to as we execute this plan and realize the tremendous opportunity for Benson Hill by leveraging our enduring competitive advantages. We will keep you apprised of our progress. I will now turn the call over to Dean to discuss third quarter results and outlook for the fourth quarter. Dean?
Dean Freeman: Thanks, Deanie, and good morning, everybody. You've seen our press release and earnings slides, so I won't read through all the numbers, but I want to focus on a couple of key takeaways here. First, we've mentioned on several occasions, the market factors affecting supply and demand unit economics, which are negatively impacting price and margin performance of our proprietary soy ingredients, meal and high-oleic oil products. This is an industry-wide issue and is part of a persistent broader challenges in the entire food value chain, driven by broader inflationary and economic uncertainty, all of which is further eroding consumer demand. Market demand headwinds impacted gross profit in the second -- in the third quarter by $2 million as we managed higher inventory supply by selling proprietary soybeans in the open commodity market at unfavorable pricing. However, this did contribute to the approximately 20% increase in proprietary revenues to $33 million in the quarter. The second takeaway is that the unfavorable comparisons to last year's crush margins, which were at peak levels last year, this led to a 17% decline in comparable nonproprietary revenues. Third, there was a negative impact of approximately $1 million in higher-than-planned manufacturing and logistics costs, which were largely nonrecurring, but negatively impacted our quarterly gross profit result. And finally, operating expenses in the quarter included approximately $2.5 million in nonrecurring costs related to our business transformation and other associated costs. Noncash items for depreciation and stock compensation were $4.7 million in the quarter. Excluding the nonrecurring and noncash items, cash OpEx declined by $1.2 million to $21.4 million in the third quarter. As we discussed last week, our plan is to deliver significant cost and working capital improvements to minimize cash burn in 2024, while enabling the execution of our strategic growth objectives. And as a result, we've announced $33 million in run rate operating expense reduction in 2024. We're also in the process of identifying an additional run rate production of about $5 million to $10 million. So as we close out the year, we expect market headwinds to persist in the fourth quarter and likely into 2024. However, we expect improved proprietary and nonproprietary product gross profit performance in the fourth quarter. And this is driven by high volume, short-term supply agreements to supply white flake products and the sale of certain noncore gene editing intellectual property. So for the full year, we're updating our revenue guidance to $440 million to $450 million. We're maintaining our gross profit guidance as the favorability and improved performance we expect in the fourth quarter should offset the market headwinds and cost pressures we saw in the third quarter. We expect to see further reductions in operating expenses. And so as a result, we anticipate a reduction in the loss from continuing operations, adjusted EBITDA and free cash flow. With the sale of the Seymour facility and the sale of noncore technology IP, we will utilize these proceeds and the restricted cash on hand to pay down approximately 50% of the short--- of the senior loan by the end of the month. We plan to completely retire the debt facility by March 1. We're focused on positioning Benson Hill for future sustained profitable growth. The market dynamics the industry is facing today reinforce the strategy we are implementing to move to an asset-light, capital-efficient operating model and to further diversify our portfolio into higher value, larger and more established animal feed markets where we have a leading competitive advantage and a compelling value proposition. We believe our plan gives us the best opportunity to substantially improve shareholder value creation. And with that, let's move to Q&A.
Operator: [Operator Instructions] Our first question comes from Kristen Owen from Oppenheimer.
Kristen Owen: Short-term question, just to start off with. Can we talk a little bit about the proprietary volume being sold into the conventional channel? I'm assuming that was primarily a function of managing our working capital, but just any additional commentary that you could provide there would be helpful to start.
Dean Freeman: No, that's exactly it, Kristen. We manage, as you can imagine, a very tight working capital cycle. It's not unusual to have some off-take into the commodity markets. But in this instance, we had a meaningful amount such that it impacted our gross profit to the extent that it did. It is very seasonal in terms of how it plays out quarter-to-quarter given the inventory levels, the harvest performance and the like. In this instance, it was a combination of a strong harvest, higher inventories and the lower demand profile. So in order to manage that working capital, get the inventory off the books, we push it into the commodity channels.
Kristen Owen: Okay. That's helpful. So then as we think about the improved outlook for fourth quarter, how much of that then is a function of we're just seeing better crush margins versus what you're seeing on the contracting side and in particular, any visibility that you have on getting that proprietary ingredient into the hands that will pay you well for that IP?
Dean Freeman: Yes. It's going to be a mix. And as I talked about in my comments, right now, modelling effectively the same volume of shipments going into volumes of same value of proprietary product going into the commodity channels in the fourth quarter. So I'm holding that basically flat, maybe conservatively. But we do have the upside, higher-margin white flake orders that are coming through in the fourth quarter that will offset that. In combination that, coupled with the gene editing IP technology that we recently sold, that will more than cover the trailing headwinds that we think will persist into the fourth quarter and possibly even into 2024.
Kristen Owen: All right. If I may, just one more, and I do understand that things are in flux and Dean, I appreciate you giving some of those factors to think about for 2024. Just continuing our thread here, how we should think about modeling the wind down of commodity volumes in 2024? Just any sort of directionality or first half versus second half? Just any commentary that can help us dial our models then would be helpful.
Dean Freeman: Yes. I think, look, we’ve provided some sort of directional view of the timing of the disposition of the assets, right? So we’re kind of targeting the early part of next year, latter part of this year. We’ve already started, as you’ve seen. The best sort of range I can give you is sort of a ramp-up into the ramp down into the first half of the year and then a modest ramp up into the second half of 2024 is as best a view as I can give you. Obviously, there’s a number of dependencies in terms of the timing of the ramp down, the time TSA and contract obligations. There’s a number of factors, but I would expect a slow ramp down in the first half of the year with a modest pickup in the second half of 2024.
Operator: Our next question comes from Brian Wright from ROTH MKM.
Brian Wright : A couple of things. I guess I wanted to start off with -- and I apologise if I missed this. But have you all finalised the tolling agreement for the Seymour facility.
Dean Freeman: That agreement is still underway, but we will have a tolling agreement completed.
Brian Wright : Okay. And by -- is there an expected timing or just negotiations or negotiations and...
Dean Freeman: Negotiations are underway. Obviously, we'll have to be sooner than later.
Brian Wright : Okay. And then what I was just trying to get a little bit better understanding of is on the in-market value creation per acre. On that value, I guess, that's on Slide 11, but some of the traits, right, are on Slide 6. But is there a way to like ring like the traits as far as the drivers of that market value creation? Or how to think about which traits are the more valuable than others?
Deanie Elsner: Absolutely, Brian. What we've done as we looked at the animal feed markets is we literally looked species by species and then within each species, subspecies to understand the end user needs. Across the board, animal feed is a very formulaic approach to pricing. As you know, it's very, very high volume and lower margin. But they formulate the way you calculate the price point on that formulation is very formulaic. And so really, by far, the biggest driver of formula cost is protein. So our protein on average, is about 20% higher than commodities. So we get a gold star for protein delivery. What protein does is it enables our producers to use more of our protein and replace higher cost ingredient streams in their formula costs. So it's a cost advantage to them. In addition, the low oligosaccharides trait is an anti-nutrient trait. What that means is it helps the animals digest a soy. As a result of that, producers can actually use more of our soy in replacement of higher cost ingredient streams. Amino acids are also a valuable set of traits depending by animal species and amino acids today are supplemented with high-cost additives because the soy meal tends not to have the right combination or the right levels of amino acid. So you can imagine how UHPLO with 20% higher protein, the low oligosaccharides trait and enhanced amino acids actually really speaks very positively to this market and in a very advantaged way. We have cost estimated every one of those formulas and then we've brought in external experts from the animal nutrition industry to validate and shadow price our estimates. And so we feel pretty good about the value creation we're bringing forward by species across those different acres, and that's what our plan is as we go out in the market.
Brian Wright : That's super helpful. The other thing I just wanted to kind of understand kind of how we're thinking about it from a commercialization standpoint is so massive increase on the protein content. But even on the HT, it's a little bit of a drag on the yield at the protein content massively overwhelm that. But like how do you think about like how that goes into the market as far as will it be directly contracting with farmers because it's going to be driven more by the end market kind of pole demand versus just typical, okay, I am a farmer we're in, this is the best yielding seed and just kind of how we think about like how that works from the commercialization standpoint.
Deanie Elsner: Yes, it's a great question. So as I mentioned, the accessible market for animal feed is about 28 million acres for domestic consumption. So you can imagine the potential in these acres. As we launch these acres into market, ultimately, what we're trying to get to is a value-add for our farmers and our producers and end user producers. As that comes to fruition, that's where the value ultimately is going to be overall. Brian, I think I lost your question. May you repeat it over time, I was under train, I think I lost your question.
Brian Wright : No, no, no. I think that was super helpful. What I think -- and I just want to make sure I'm interpreting any way he said. So basically, it's the animal feed companies that are going to drive the former to take up the seed and plan to seed and contract with it because of the benefits that they get and they're going to share some of that with the farmer. Is that kind of just...
Deanie Elsner: That’s exactly right. That’s exactly right. So Yes, 28 million acres. If we move to a full mile where the end user is pulling that through to the farmer because there’s a value benefit to them, that’s where the value is going to be created. And across the board, we are delivering that value across all the players in the value chain. And so we’re creating a model where there is a lean in on this product across the board.
Operator: We currently have no further questions. We will now hand back over to Deanie Elsner for closing remarks.
Deanie Elsner: Thanks, Lauren. We appreciate your time and attention this morning. We’re confident in the path forward for Benson Hill by leveraging our competitive strengths. We expect to diversify our market reach while at the same time creating an enduring business model centered on our core technology company. Please get in touch with Ruben, if you have any questions. Thank you very much.
Operator: That concludes the Benson Hill conference call. You may now disconnect your lines to the webcast.